Operator: Welcome to LGI Homes First Quarter 2021 Conference Call. Today's call is being recorded, and a replay will be available on the company's website later today at www.lgihomes.com. We have allocated an hour for prepared remarks and Q&A. [Operator Instructions] At this time, I will turn the call over to Josh Fattor, Vice President of Investor Relations at LGI Homes. 
Josh Fattor: Thank you, Laura. Good afternoon, and welcome to the LGI Homes conference call to discuss our results for the first quarter of 2021. Today's call contains forward-looking statements regarding our business strategy, outlook, plans, objectives and guidance for 2021. These statements which speak only as of today's call and are based on management's expectations are not guarantees of future performance and are subject to risks and uncertainties. You should review our filings with the SEC, including our risk factors and cautionary statement about forward-looking statements for a discussion of the risks, uncertainties, and other factors that could cause our actual results to differ materially from those anticipated in these forward-looking statements. LGI Homes assumes no obligation to publicly update or revise any forward-looking statements. Reconciliations of any non-GAAP financial measures discussed on today's call to the most comparable measures prepared in accordance with GAAP are included in the press release issued this morning and in our quarterly report on Form 10-Q for the quarter ended March 31, 2021 that we expect to file with the SEC later today. This filing will be accessible on the SEC's website and in the Investor Relations section of our company website. Our hosts today are Eric Lipar, Chairman and Chief Executive Officer; and Charles Merdian, Chief Financial Officer and Treasurer. I'll now turn the call over to Eric.
Eric Lipar: Thanks, Josh. Good afternoon and welcome to everyone participating on today's call. 2021 is off to a tremendous start and we're very pleased to share our results with you today. Our remarkable performance was the direct results of our continued focus on sales and closings, our commitment to maintaining gross margins by raising home prices ahead of ongoing cost inflation, managing our supply chain and effectively delivering on our backlog. The demand strength that we saw last year has continued unabated into 2021 and is being driven by several key factors. First interest rates, despite a 30 basis points increase since December, mortgage rates are still almost 40 basis points lower than they were at this time last year and remain at historical lows, not only is this fueling demand is directly supporting our ability to raise home prices ahead of input cost inflation without impacting our sales pace. In fact, despite an 11% increase in our average sales price over the last year, demand for our homes has never been higher. The second factor is the supply-demand imbalance. Across the country, home inventory is limited and existing home inventory is at historic lows. Pre-owned homes are selling in a matter of weeks and often at prices above asking price due to competitive bidding among buyers. This dynamic has increased attention on the new home market, especially within the entry-level product segment, where we focus. We would expect this trend to continue as long as the total supply of homes remains constraint. The third factor is increased interest in home ownership. When the housing market began to accelerate last May, one of the ideas floated was that demand was being fueled by people's freedom to work-from-home. However, as the economy has reopened and many workers have returned to their offices, we haven't seen less demand for homes, but more. We believe this is explained by a deeper, fundamental shift in how the home is valued. This is also a trend we expect to continue for the foreseeable future. In short, it remains the strongest housing market we've ever experienced, supported by dynamics that the LGI business model is uniquely well positioned to capitalize on. Here are a few highlights of our recent performance. Net orders during the quarter were the highest in our history, up over 110% year-over-year, which in turn drove a 200% increase in our backlog. Closings in the first quarter, were up 40% over last year to 2,561. We generated record revenue of $706 million, an increase of 55% while delivering meaningful increases on all profitability metrics. This was highlighted by a 350 basis point improvement in our gross profit margin; a 490 basis point improvement in our EBITDA margin; a 540 basis point improvement in our pre-tax profit margin; and 137% increase in our earnings per diluted share. During the first quarter, we average eight closings, per community, per month, company-wide. Dallas-Fort Worth was our top market with 12.4 closings per community, per month; followed by San Antonio with 12.2; and Austin with 11.4. Phoenix came in four with 11 closings per community per month followed by Denver with 10.6. Finally, we had our first closings in our new Baltimore market and are now officially operating in 35 markets across 19 states. With that, I'll turn the call over to Charles for more details on our financial results.
Charles Merdian: Thanks, Eric. As highlighted in our press release this morning, revenue in the first quarter increased 55.2% year-over-year to $706 million. This was our second, best quarter in company’s history, surpassed only by our performance in the fourth quarter of 2020. As Eric noted, we closed 2,561 homes, an increase of 39.6% year-over-year. Closings included 283 homes sold through our wholesale business this quarter, representing 11.1% of our total closings, compared to 199 homes or 10.8% of our total closings in the same quarter. Last year cost inflation remains a key headwind we monitor on an ongoing basis. Our lumber costs have more than doubled since last year. However, demand tailwinds have enabled us to push through price increases in all of our markets to mitigate this pressure and maintain our industry leading gross margins. Our average sales price during the first quarter was a company record of $275,655 an 11.2% increase over the same period last year, driven primarily by the favorable demand environment, as well as an increase in closings in certain markets with higher price points and changes in product mix.  Gross margin, as a percentage of revenue this quarter was 26.9%, compared to 23.4% during the same period last year. This exceeded our expectation and represented an increase of 350 basis points year-over-year, driven by our success passing through cost increases, lower capitalized interest and continued operating leverage, partially offset by higher lot costs. Our adjusted gross margin as a percentage of revenue was 28.5% this quarter, compared to 25.5% for the same quarter last year, a 300 basis point increase. Adjusted gross margin excludes approximately $10.7 million of capitalized interest charged to cost of sales during the quarter and $812,000 related to purchase accounting, together representing approximately 160 basis points. Combined selling, general and administrative expenses for the first quarter were 9.6% of revenue, compared to 11.6% at the same time last year. Selling expenses for the quarter were $42.8 million or 6.1% of revenue, compared to $32.8 million or 7.2% of revenue for the first quarter of 2020, a 110 basis point improvement. In addition to operating leverage realized from increased revenue, our quarterly marketing spend was down nearly 40% year-over-year, driven by continued strength in demand, reducing advertising expenditures, partially offset by higher commissions paid to realtors as a percentage of revenue. General and administrative expenses totaled $24.7 million or 3.5% of revenue, compared to 4.4% for the first quarter of 2020, a 90 basis point improvement, driven primarily by operating leverage, resulting from higher revenue. As a percentage of revenue, we expect full year SG&A expense to be between 9.5% and 10%. EBITDA for the quarter was $134.2 million and EBITDA margin as a percentage of revenue was 19%, a 490 basis point improvement over the same period last year. Pre-tax income for the quarter was $123.3 million or 17.5% of revenue, an increase of 540 basis points over the first quarter of 2020. For the first quarter, our effective tax rate of 19.2% was lower than our annual expected effective tax rate, primarily due to the result of deductions in excess of compensation costs or windfalls for share-based payments. We would expect that our effective tax rate for the remainder of the year will range between 21% and 22%. Our first quarter reported net income increased 132.6% year-over-year to $99.7 million or 14.1% of revenue. And our first quarter earnings were $3.99 per basic share and $3.95 per diluted share. First quarter gross orders were 5,840, an increase of 92.4%. And net orders were 5,229, an increase of 110.8% year-over-year. And the cancellation rate for the first quarter was 10.5% a record low. Driven by a strong demand, we finished the first quarter with a record backlog of 5,632 homes. This was the highest backlog in our history and an increase of 199.7% year-over-year. The value of our backlog on March 31 was a record $1.6 billion, an increase of 257.6% year-over-year. Continued investment in attractive land positions to support our long-term growth objectives remains our top capital allocation priority. As of March 31, our land portfolio consisted of 67,286 owned and controlled lots, a 33.8% year-over-year increase and a 9.4% increase, sequentially. We added almost 5,800 new lots to our owned inventory and finished the quarter with 38,502 owned lots, an increase of 22.5% year-over-year. 7,938 of these lots were finished vacant lots and 26,213 were either raw or under development. During the quarter, we started over 3,000 homes and ended with 4,351 completed homes, information centers or homes in process. During the first quarter, we increased our total number of controlled lots 52.7% year-over-year to 28,784. Turning to the balance sheet. We ended the quarter with approximately $48 million in cash, $1.6 billion of real estate inventory, and total assets in excess of $1.8 billion. At the end of March, we had $414 million in total debt outstanding under our senior notes and revolving credit facility. And our available borrowing capacity under the facility was approximately $518 million resulting in total liquidity of $566 million. We ended the quarter with over $1.2 billion in total equity, and as a result of our strong operating results and profitability, delivered an industry leading return on equity of 36.6% for the trailing 12-month period. At March 31, our net debt to capitalization ratio was 23.1% compared to 42.1% at this time last year, our lowest net debt to capitalization ratio since June of 2014 and a 750 basis point improvement sequentially. On April 28, we entered into our fifth amended and restated credit agreement, which increased commitments under the facility from $650 million to $850 million with the option for an additional $100 million increase. The revised agreement provides for significantly more attractive terms and conditions that are reflective of our continued growth and business diversity, improve credit metrics and consistent financial performance across cycles. The amendment extends our maturity from 2023 to 2025, and among other improvements reduces our current borrowing rate to less than 2%, a 36% reduction in our cost of debt related to the facility. During the first quarter, we repurchased 216,221 shares of our common stock for $25.8 million or a weighted average price of $119.45 per share. We ended the quarter with 24.9 million shares outstanding and $274.6 million remaining on our existing stock repurchase program. We remain committed to returning capital to shareholders and as a component of our broader capital allocation priorities, we expect to be a regular and systematic buyer of our shares going forward. At this point, I’ll turn the call back over to Eric.
Eric Lipar: Thanks, Charles. Let me provide some thoughts and what we’re seeing thus far in the second quarter and update you on our outlook for the remainder of the year. The second quarter is off to a great start and the strong demand we experienced last quarter has continued into April. Subject to our normal review and verification of fundings, we expect the formerly reports approximately 945 closings for the month of April. This is our best April results on record and represents a year-over-year increase of 56% over the same month last year. Based on our current outlook on the market visibility into our backlog and view of finished lots available to close in 2021, we are updating our guidance. We now anticipate closing between 9,700 and 10,300 homes, an increase of 500 homes at both ends of our prior guidance range, at an average sales price between $275,000 and $285,000. We maintain our prior expectation of 112 to 120 active communities at year end. Finally, we are raising our full year gross margin guidance by 70 basis points to a range between 24.7% and 26.7%. And our adjusted gross margin guidance by 50 basis points to a range between 26.5% and 28.5%. I’ll conclude with a few comments on LGI mortgage solutions our exciting new joint venture with our preferred lending partner loanDepot. Since 2015, loanDepot has worked side-by-side with us to make the dream of home ownership a reality for our buyers. Over those years, loanDepot consistently demonstrated its willingness and ability to scale its operations to match our expanded needs and established its position as the most qualified partner for us to continue to grow our business with. We believe this new partnership will further enhance the quality of our customer’s borrowing experience, while creating meaningful value for our shareholders. That concludes our comments on the quarter. And we’ll now open the call for questions.
Operator: [Operator Instructions] Our first question comes from Aaron Hecht with JMP Securities.
Aaron Hecht: Hey guys, a great quarter.
Eric Lipar: Thank you.
Aaron Hecht: I had a question – sure, I had a question around the guidance and the orders, which were obviously outside on a per community basis. And usually you guys deliver almost a 100% of your backlog. Look at that backlog today over 5,500 homes, over 2,500 closed in the first quarter. Does that imply that there’s going to be a longer cycle times for deliveries now? How should we be thinking about the delivery pace relative to the pace that you’re booking these orders?
Eric Lipar: Yes. Aaron, this is Eric. Great question. And sales and orders were very strong in the first quarter. And you’re correct on the cycle time from sales to close, because sales is ahead of construction right now. We are choosing to keep selling houses and build in our inflation that we projected cost continuing to rise. But we have went ahead and taken customer’s deposits and keep selling out into the second and third quarter. And we think that strategy is working. So our construction time has not slowed meaningful, but certainly the orders were taking the contract to close will be extended into the second and third quarters.
Aaron Hecht: Right. So going a little deeper into a contract cycle, if the demand remains robust, do you see that continuing out into the future or do you try to scale that back over time and go with your more traditional delivery model? How do you think that plays out over the course of the cycle?
Eric Lipar: Yes. I think it will naturally sell back, because we have so many communities that are sold out if you will, opportunities to keep selling houses at least the next quarter or two is going to be limited. We got strong demand on our retail side. We got strong demand on our wholesale side. We’re selling focused on 2021 right now, not focused on 2022. We’ll get there over the next couple of quarters selling into 2022. But right now the focus is on contracts that can deliver in 2021.
Aaron Hecht: Great, makes sense. Thanks a lot, Eric. Great quarter.
Eric Lipar: You’re welcome. Thank you.
Operator: Our next question comes from Stephen Kim with Evercore ISI.
Bryan Adams: Hey, this is actually Bryan Adams on for Steve. Congrats on the great quarter guys. And thanks for taking my question. I’m surprisingly hearing a lot of very positive pricing commentary on the call. And was just wondering how many of your homes are now selling above the FHA loan limits right now and maybe how that compares to your historic norm?
Eric Lipar: Yes, Bryan, this is Eric. Yes, I don’t know the exact number. I could say it’s very few. Just historically being entry-level price point, we historically are selling below FHA limits. Now that being said, with – and the communities that are above FHA limits, it’s a 3.5% down payment you’re looking at a minimum of 5% down payment. And it does not seem to be a headwind for sales in this market selling above the FHA limit, but it’s certainly below 10% of our overall closings above FHA.
Bryan Adams: Got it. That’s very encouraging to hear. I just one quick follow-up from me. A number of other builders have mentioned that they perform stress tests on their backlog to kind of take a look at the effect of a 50 or 100 basis point move in mortgage rates to see if, how many buyers drop off. Have you guys done something similar?
Eric Lipar: Yes, I would say interest rates are something that we’re always looking at. The income to debt ratio for our customers and monthly payments certainly are impacted from rates. I think we do have an advantage over builders still, even though we’re talking about selling out into the future, most of our customers that are under contract or be closing relatively soon rather in comparison to other builders. So we can lock in their rates accordingly. So I would say we haven’t necessarily done stress tests, but we’re always looking at our pipeline and comfortable even with a 50 to 100 basis point move in interest rates. We’re not going to lose a big part of our pipeline by any reason.
Bryan Adams: Awesome. All right. Thanks, Eric. And congrats again, guys.
Eric Lipar: Thank you.
Operator: Our next question comes from Carl Reichardt with BTIG.
Carl Reichardt: Thanks. Good morning, guys. Thanks for taking my question. I’m going to talk about SG&A a bit, so I understand the marketing cost falling and the leverage you’ve got. Eric, can you talk just a little bit about hiring new folks as you look out to your growth and starting expanding your community count next year? What’s that process been like? Obviously COVID impacted it early on that’s kind of changed. I just want to get a sense, how are you finding getting new sales folks to staff new communities as you go?
Eric Lipar: Yes. It’s a great question. Carl. I’ll talk about recruiting and Charles can add on the SG&A leverage if he’d like to. But from a recruiting standpoint, the focus during COVID is really focused on construction managers to build the house, acquisition and development personnel to keep out ahead of acquisitions, buying land, getting the developments done. We’re doing a lot of development work. We actually have been hiring very few salespeople over the last couple of quarters because sales have been very robust. We have very few – very little turnover in our sales staff. Everybody’s doing extremely well. Making good compensation, everybody’s got a lot of backlog and we’re selling through these communities very quickly. So we have – we didn’t increase our community count guidance, even though our closings guidance went up primarily because there are absorptions per community as up. Certainly, as we get into adding to our community count over the next couple of years, we’ll certainly be recruiting salespeople. We think, with LGI, with our sales philosophy, our commission rate, our culture no challenges in the future recruiting salespeople.
Carl Reichardt: Great. Thanks, Eric. And then on the lot side, I think you said 28,000 under control now. Obviously, historically I think you’ve tended and want to develop to capture the margin. Can you talk about whether or not that’s beginning to change or are these all paper a lot options are you’re still going to develop? Are you starting to use land bankers and are you beginning to move towards finished lots options if there are any out there? Thanks.
Eric Lipar: Yes. We’re not doing any land banking at all. So our philosophy hasn’t changed probably even more so land development opportunities because finished lot opportunities are so rare in this market. So we are buying raw land to development. That cycle time is at least as long as it’s ever been, if not, added three to six months to that timeline for development timing, plan approvals et cetera. Over the last 12 months, if you compare our owned and controlled we’re up 16,000, 17,000 lots, which we described is right on track. So we’re adding inventory need, it’s really about timing and getting these new communities online. That’s probably pushing into 2023 for anything that we’re buying right now.
Carl Reichardt: Great. Thanks Eric. I’ll get back in queue.
Eric Lipar: Thank you.
Operator: Our next question comes from Ken Zener with KeyBanc.
Ken Zener: Hello everybody.
Eric Lipar: Hello. Good morning.
Ken Zener: It is morning on the West Coast. Pretty amazing. So Eric question, so that your inventory units, you said about 4,300, I assume about half of those will be closing, just given kind of cycle times in the forward quarter. That’s just generally I think about a six month construction cycle, if you could just kind of talk about that if you’re making any comments about 2Q.
Charles Merdian: Yes. Ken, this is Charles. I think, we’ve seen over the last six months or so just with our inventory turns, we’ve actually seen a shift into fewer completed units than we typically normally would. So at the end of March, we had less than 700 completed units in our inventory. So the bulk of those units are work in process. We also mentioned we started around 3000 houses in the first quarter. So I think what we’re seeing from an inventory flow is just that sales, as Eric mentioned are ahead of the construction pace. So we’re just – we’re building them the cycle time itself to build the houses is generally consistent. We’ve just got a deep backlog. So we’re closing them as soon as we finish them.
Ken Zener: Right. So the reason I kind of asked that is, the 3,000 year starts guide, I basically like a year, but you had an inventory closed and liquid you ended. That’s kind of how I calculate the starts. And I’m trying to think about the out year, obviously as this year unfolds, I think your guidance kind of assumes will be at that similar start level, which is I’ll call that your capacity if you will. And I’m trying to think about next year as you kind of get back to your more normalized, 15% give or take community count growth, should we think your capacity will ramp up along with your community count? Is that a reasonable way to think about what you guys can be building, not what the market is demanding because you obviously, your business model is production building. So I’m just thinking about, as you think about your capacity, does that kind of just match your community count growth as we think about next year?
Charles Merdian: Yes. So this is Charles, again I’ll take that. I mean, I think it’s really more dependent on finished lot deliveries given the fact that we’re spending more of our efforts on developing lots than buying finished lots at the current moment that it’s going to really be starts are going to be on when the lots are going to be available to be built. So there may be a little bit of a disconnect there between the community count itself and then the ability or the capacity, as you mentioned in terms of what we have available to start. So we’re really thinking about it in terms of when the lots will be plotted and delivered. And like Eric mentioned, that’s pushing into late 2022 and into 2023 just based on our development timelines.
Ken Zener: And is there anything that stands out given your long history of land development, what we’re seeing now – or is it just a double scoop of permitting or, I mean, is there anything really exceptional? I mean, so many trades are strained right now. Is it still coming from the municipalities? Or is it that the contractors, you just can’t get them or they’re asking too much or any thoughts would be useful. Thank you very much.
Eric Lipar: Yes. Thanks, Ken. This is Eric. Yes. I think the land development cycle times just a little longer than it was, but nothing in particular, just a lot of demand on those trade right now. But normally even in a normalized market, if you will, it’s two years in most of our markets to buy a piece of raw land and turn it into finished lot. So what we’re acquiring right now being on the contract, those will turn into construction and sales and closings in 2023. And I also since you brought it up and the 15% historical community count growth that may or may not happen for next year. Right now, we’re thinking similar to community count growth because our absorptions have been so strong. When it changes our community count assumptions for this year, but if absorptions were not as strong as they are, our community count would be higher. So we’re looking at probably based on pretty strong absorption, that pretty strong market continuing, we’re looking at similar community count next year compared to this year.
Ken Zener: Thank you very much for those comments.
Operator: Our next question comes from Truman Patterson with Wolfe Research.
Truman Patterson: Good afternoon, everybody. Thanks for taking my question. So Eric, one of the follow up here, in the prepared remarks, you said very strong pricing and I believe you said outstripping inflation, right? Really strong first quarter gross margin performance. But when I look at your guide going forward, it implies maybe a 100 bps of deterioration at the midpoint. I’m just hoping to understand some of your assumptions and if anything might be weighing on it going forward, the expansion in a new markets or new communities coming online, and the reason I’m asking the wholesale, yeah, I was just going to say, when I looked at the breakout of the wholesale mix, to me, it doesn’t seem like it might way on it quite that much. So just looking for a little color.
Eric Lipar: Yes. I think to start with, our comment in the prepared remarks is just how strong the market is. If you would’ve told us last year, our average sales price would be $275,000 this quarter and our absorption will be up 40%. We would not have believed that. And that’s how strong the market is that we’ve been able to increase our gross margins over 300 basis points year-over-year and take on those additional costs and pass that onto the consumer and increase closing. So that’s how strong the market is. I think going forward, our gross margin guide is really based on, we anticipate costs continuing to rise and based on our average sales price guide going up, we plan on continuing to pass that through the consumer. So that’s very strong, but overall, holding the guide less than this first quarter makes sense to us, hopefully that’s conservative and hopefully we don’t have the cost inflation that we’re forecasting, but we want to make sure we have enough cost inflation built in, because we’re not seeing any slowdown currently in that metric.
Truman Patterson: Okay. Okay. Thank you for that. Very encouraging. And then just two quick two-part for me on my follow-up. So, weighing competition, we’ve heard is intensifying across the board, and we’ve even heard that oftentimes the development profit really gets competed away. Clearly you all, based on the margins, you all don’t compete that away, but just hoping you can give us an update on competition. What you’re seeing in the markets? Is it getting a little more difficult to find land? And then just a part two follow-up on your loanDepot JV comments, could you just give a little bit more color there and potential profitability?
Eric Lipar: Sure. Yes. I’ll start with the land question Truman, and, I think it’s pretty clear that there’s a lot of competition for land. There’s a lot of interest in home building. Every builder wants to increase their premium new account. A lot of single family rental operators are looking for land positions as well. And we’re still finding, we’re still finding deals as evidenced by our own control backlog and what we’re seeing, but we’re also, I think it’s one of the things that we stress and it’s important for our investors to know we’re not going to go out and buy land deals that don’t make sense. We’re not going to just focus on increasing revenue, increasing community count and sacrifice the developer profit like you’ve talked about. We’re going to focus on margins. We’re going to focus on absorptions. We’re going to focus on that return on equity, which we were very pleased with our results from this quarter, and that’s going to continue to be the focus and we’re going to continue to make good decisions. So, I think we’re in really good shape from a land side, we’ll continue to make good decisions. On the loanDepot joint venture, yes, exciting announcements, our joint venture with loanDepot, they’ve been preferred partners since 2015. They were up to more than 60% of our loan originations were with loanDepot anyway. So, we felt like it was natural timing. As far as profitability and building assumptions into the model, we look at this year, meaning 2021 as a year, that joint venture is getting started. We’re going through a lot of licensing in the different states right now. We are optimistic that we’ll be putting loans through the joint venture later in 2021 and probably break even this year, but certainly not add earnings in 2021 is not the expectation. And then 2022 will be fully operational in all the states and putting the vast majority of our loans through the joint venture in 2022.
Truman Patterson: Okay. Thank you all for that. And good luck on the upcoming quarter.
Eric Lipar: Thank you.
Charles Merdian: Thank you.
Operator: Our next question comes from Deepa Raghavan with Wells Fargo.
Deepa Raghavan: Hi, good morning everyone. Eric, Charles are there any levers you can pull to raise your gross profit from here? I mean, in the past years you have done much better than this 26% hitting 27%. Just curious how much, if you're able to rise, is there any structural items you could do it to your end to keep them – get them higher from where you currently are?
Charles Merdian: Well, this is Charles Deepa and I can start. I mean, I think first of all, we are very proud of our consistent results. I think the way we think of ourselves as really from a cost plus type of mentality, meaning that as cost increases come through we're pushing those through, I think in terms of going forward where some of our upside may be is that, if costs inflation decelerates we're likely to keep sales prices similar. So there could be some upside if costs decelerate. We're not assuming that in our model, we're assuming that costs will continue to increase. The other piece we highlighted in our adjusted gross margin guidance is that the announcement we made in our revolving credit facility significantly reducing our overall debt costs. We also intend to access the markets to refinance our high yield notes this year, that will reduce our interest costs, which will have a favorable impact to gross margins but a not impact to adjusted gross margin. So I think just constantly managing our pricing, working with our trades, managing costs, which is not anything different than what we're used to. But if we do that very well, then there's some potential upside to gross margins.
Deepa Raghavan: Got it. That's helpful. Are you able to talk about any metrics that was perhaps below your expectations in the quarter and maybe even talk about how transient do you think there could be or not? Just, you know, it could be supply chain or it could be any of the regions inflation or maybe at an, a cancellation rates within your bookings, et cetera.
Charles Merdian: Yeah, I think, Deepa it is a great question. I think we can always learn and improve and train, and get better as part of our culture here at LGI, one of the things that we're improving on is just make sure we understand all the costs before we put a price on a house, even if we're selling out in front and make sure we're building it up inflation. Some of the houses that we contracted on the fourth quarter to construct and close over the first couple of quarters of the year, first few months of the year we didn't build in enough, lumber and costs have really went up more than we expected. We have learned from that and we are assuming the higher cost inflations continue. So that's one area that we're continuously looking at and make sure we're pricing our homes accordingly to meet our margin requirements.
Deepa Raghavan: Great. That's helpful. Thanks so much for taking the questions.
Charles Merdian: You're welcome.
Operator: Our next question comes from Michael Rehaut with JPMorgan.
Elad Hillman: Hi, this is Elad Hillman on for Mike. Congrats on the results and thanks for taking my questions.
Eric Lipar: You're welcome.
Elad Hillman: First, sorry if I missed this, but what are you assuming in terms of wholesale closing as a percent of total closings for 2021 in the guidance?
Eric Lipar: Yes, our guidance for wholesale hasn't changed just between 10% and 15% of our overall closings will come from wholesale.
Elad Hillman: Great. And then…
Eric Lipar: 11.1% in the first quarter, similar percentage of healthier.
Elad Hillman: Perfect. Thank you. And then I was curious if you could just sort of expand on the drivers of the stronger closings this quarter and then in your guidance, even after the raise, it seems to imply a deceleration from the 1Q closing levels, some of the future quarters. So any color you could share on how we should think about the puts and takes in terms of the ability to deliver homes through the end of the year?
Eric Lipar: Yes, it is really a lot availability. I mean, strong first quarter with eight closings per month, basically 40% over last year’s 5.6. The sales are continuing to be strong. April is another strong month for sales. We're disclosing a lot of communities, closing out of sections. So our ability, we had – we wanted to raise our closing guidance for the year up to 9,700, 10,300. So that implies a similar closing after 2,500 for first quarter, multiply that by four you're at 10,000-ish closings. So we think we're right on track. Community count is going to increase from here slightly. So we think absorptions will be similar the rest of the year.
Elad Hillman: Okay, great. That's helpful. And then just on SG&A, just coming back to that for a minute. In 1Q is kind of 200 basis points higher year-on-year and then or better year-on-year. And then I know last year you had some lower costs and now SG&A seems to be roughly flattish for the rest of the year as implied in your guide to just any of the puts and takes there in terms of advertising marketing spend for the rest of the year, would be helpful.
Charles Merdian: Yes, sure. This is Charles. I think it's really more driven on the absorptions, a comment that Eric just made. I mean, coming in at eight in the first quarter is significantly higher than what we typically would see. Normally, we're describing the first quarter as a higher percentage, just given the absorptions and where that typically comes through. So we think the cadence this year is just going to be very similar between the second, third and fourth quarter. A little different than what we normally would see with absorptions lower in the first quarter and then picking up and typically being heavier in the fourth. So I think that's the basis, if you will behind the SG&A guide.
Elad Hillman: Great. Thanks. That's very helpful. 
Eric Lipar: You bet.
Operator: Our next question comes from Jay McCanless with Wedbush.
Jay McCanless: Hey, good afternoon. Thanks for taking my questions. Congrats on the quarter. What was the community count at the end of April?
Eric Lipar: Well, we haven’t reported that Jay. We'll put our closing number and community account tomorrow evening. We have said 945 projected closings. We have to verify that with their funding, but it'd be very close to that number while we report and community counts can be in that 105, 106 range, I believe.
Jay McCanless: Okay. All right. And so I guess that asked in Michael's question a different way, if you're going to maintain eight per month through the rest of the year. When should we expect the community count increased to really kick in? Is it going to all hit in the fourth quarter or how are all thinking for that?
Eric Lipar: Yes, I think it should be backend weighted from here towards the end of the year, I mean, we're comfortable 112 to 120, but the absorptions real strong. So that the higher we are in our guidance, the closer we are to 10,300 closings for the year. The lower we're going to be on community counts, and if we're at the low end of our guidance 9,700 closings, we're better – there's a better chance of being more towards the 120, just the acceleration of these communities and how quickly they close out.
Jay McCanless: Got it. And then you were talking earlier about your timing from buying a roll-out deal or a roll-in deal and turning it into finished lots. Where is that cycle-tide now and how does that compare to historical?
Eric Lipar: Yes. I mean, it's different for every market, Jay. We internally use 24 months, somewhat as a guide. If we buy a piece of raw land, it's going to take about 12 months for engineering and plot approvals and about 12 months to for construction to get into construction of the homes. So 24 months is a pretty good guide. And that's a similar timeframe that we've been using over the last couple of years, but it's certainly not shortening up if you will. It has potential to be the longer than 24 months based on what's happening in the market over the next couple of years.
Jay McCanless: And is that just a function of people out because of COVID municipality hold-ups? What is there anything specific you can call out there? Because what we'd heard from some builders was that the municipal headwinds were starting to lessen but it sounds like now that, that those are starting to tighten up again.
Eric Lipar: Yes. I mean, its so market specific, Jay, it's tough to make a broad statement varying generally because there is a lot of plans going to the system. There's a lot of people looking to develop land, utilities and those contractors play into us somewhat out of our control. So most of our schedules and most of our time timing we're building in some extra – hopefully its conservatism, extra caution to our schedules to make sure we can deliver on time and have a good visibility into our future growth.
Jay McCanless: Got it. Appreciate taking the questions.
Eric Lipar: You're welcome.
Operator: Our next question comes from Alex Barron with Housing Research Center.
Alex Barron: Yes. Thanks guys and great job on the quarter.
Eric Lipar: Thank you.
Alex Barron: I wanted to ask about the – the order, Charles, I think you said you started a little bit over 3,000 houses. I'm trying to reconcile that also versus the delivery guidance. And I guess I'm just kind of asking, is – are you guys just trying to be conservative on the deliveries and also, is it unreasonable to expect that the starts pays next quarter would be closer to this 5,000 sales pace?
Eric Lipar: Yes. Alex, this is Eric. You broke up a little bit. I think I got the gist of your question. Yes, it is unreasonable that we're going to start 5,000 houses next quarter that will not happen. Another thing about the backlog and the orders that we haven't talked about, wholesale closings where 11.1% of our closings in the first quarter we believe it's going to end up the year at 10% to 15% of our closings, but our wholesale units and backlog, and Charles read this in the prepared remarks, I believe was up 300%. So we got a big backlog of wholesale. Now we just need to get them close. There won't be a lot of new orders on the wholesale business that's going to deliver in 2021. And we won't have a lot of new sales. I mean, with our April closing report, plus what we have in the pipeline. We've got a lot of sales baked in for this year. Now we've got to get them built and close.
Alex Barron: Okay. So what you're saying is a lot of the order upside this quarter came from wholesale orders. Is there a way you can tell us what that was wholesale orders versus kind of consumer-to-consumer orders to understand that better?
Charles Merdian: Well, this is, Charles. I can tell you at the ending backlog we had just over 1,300 wholesale units at the end of the first quarter of this year compared to 338 at the end of the first quarter of last year. So, we were up over a 1000 units in the backlog for related specifically the wholesale.
Alex Barron: Okay. That’s very helpful. Thanks again, guys.
Eric Lipar: You’re welcome.
Operator: Our next question comes from Carl Reichardt with BTIG.
Carl Reichardt: Thanks. Thanks for letting me get a follow-up in here, guys. So on the topic of wholesale to Alex’s question. We talked before about margins and wholesale being well lower on the gross side, but no SG&A costs. So the operating margin impact is effectively not dissimilar from consumer sold homes. Having said that, one of your peers has talked about margins in the wholesale side beginning to increase fairly rapidly given the number of firms with capital chasing this business and finding it hard to get units put together. Is there a profile change in your gross margin from the wholesale demand that you’re seeing right now, whether it’s the city you’re selling out of, or just demand generally?
Eric Lipar: Yes, I think Carl, what has changed is, demand is strong on the retail side and the wholesale side, so any available lots or houses that we have to sell through either channel needs to be priced with better margin, just because there’s limited, limited supply and limited availability. And there is a lot of demand from the wholesale channel to buy our houses. So our idea of how much discount they get has changed. Now, that being said, and not a lot of that has flowed through yet. And some of the prices we committed through the wholesale channel at the end of last year that are delivering for the first couple of months, or first couple of quarters of this year. We’re not going to make the margin as expected, because we didn’t build in enough inflation. So it’s balancing out and that’s why we have similar gross margins and very strong, gross margins guided going forward.
Carl Reichardt: That’s great. That’s perfect. Thank you, Eric. And then last, just a little bit about new markets any for this year and then maybe refresh our memories as to what you’re planning for 2022? Thanks.
Eric Lipar: Yes. Thanks for, well, we own our first piece of property in Salt Lake City, Utah. So that timeline of getting developed a speech property we’re going to develop, we won’t be in the sales and closings until later in 2022 or even 2023 in the Salt Lake market. So smaller markets we announced our prepared remarks. We’ve just had our first closing in the Baltimore market we’re now in Norfolk, Virginia. But again, I think we’d emphasize more than new markets going forward is really just going deeper in our existing markets. We’re in 36 markets now, I believe. So just focusing on going deeper in all those markets is going to be the primary initiative.
Carl Reichardt: Thank you. Appreciate it guys.
Eric Lipar: You bet.
Operator: Our next question comes from Alex Barron with Housing Research Center. 
Alex Barron: Yes, thanks. You know, as far as the share buyback you said you’re going to be more, more systematic. I was just trying to understand how you guys are thinking about it as it to be just roughly a certain amount of shares a quarter, or is it more a percentage of your net income just if you have any guidance on how you guys are thinking about that?
Charles Michael: Yes, sure. This is Charles. I think we’re, we’re first thinking, our main priority is to continue to grow the balance sheet and invest in real estate inventory. And that generally tends to be fairly lumpy. We’re not giving specific 2021 guidance other than the fact that we think that there is an opportunity to just participate in share repurchases on a regular basis. We did about $26 million in the first quarter. So we'll continue to evaluate it on a quarter-to-quarter basis, but – and I think the messages we should expect to just bake to some degree from this point further out.
Alex Barron: Okay. Got it. And then the other question was, I think you mentioned that you expected the community count to be roughly similar next year versus this year. I guess my question is, is the size of your communities in general higher, what you're acquiring now versus what you've been operating at in the past?
Eric Lipar: Yes, I'd say there is similar, if not slightly higher. When we – when you buy raw land parcels they tend to be higher than our more larger, if you will, then if you're buying finished lots. We've always bought a lot of raw land. And we don't necessarily base it on size, our typical project is going to be three to five years, we're developing land, I got similar to what it's been in the past.
Alex Barron: Okay. And if I could ask one other one on the wholesale business, I think in the past you guys were selling more individual homes within some of your communities, but it might correct that maybe now you guys have switched to entire communities. And if so, what's the average size of that entire community. I would think now we're probably going to see more lump sum closings, I guess if I'm correct.
Eric Lipar: Yes. We haven't switched that dynamic, the demand for the rental operators to buy larger sections, or entire community is certainly there. Currently we have two, as part of overall community account, where we're under contract to sell entire communities, so it's still a pretty small part of our business. But overall closings will be in that 10% to 15% range on the wholesale side.
Alex Barron: Okay. Thanks, and great job guys.
Eric Lipar: Thank you.
Charles Merdian: Thank you.
Operator: Our next question comes from Jay McCanless with Wedbush.
Jay McCanless: Hey, thanks for taking my follow-up. I just want to be clear here, should we expect the gross margin percentage to the client sequentially from 1Q to 2Q? And is that part of the reason that the gross margin guide looks pretty conservative? Is it based on that wholesale business you were talking about?
Charles Merdian: Well, Jay is Charles. I mean, I think we're not necessarily giving guidance for Q2, but we think that there is heavier weight to the headwinds in terms of – so you have to be determined mix and some of the other factors that are going to come through the income statement in the second quarter. So we're really thinking about it for the remainder of the year, similar to slightly down is I think how we would describe it.
Jay McCanless: Okay. All right. That's helpful. Thank you.
Operator: Showing no further questions in queue at this time. I'd like to turn the call back to Eric Lipar for closing remarks.
Eric Lipar: Thank you. And thank you for participating on today's call and for your continued interest in LGI Homes. Everyone have a great day.
Operator: This concludes today's conference call. Thank you for participating, you may now disconnect.